Operator: Welcome to the Intrepid Potash Second Quarter and First Half 2016 Earnings Conference Call. [Operator Instructions]. I would now like to turn the conference over to Jennifer Holmquist [ph], Investor Relations. Please go ahead.
Unidentified Company Representative: Thanks, Anastasia. Good morning and welcome, everyone. I remind you that parts of our discussion today will include forward-looking statements as defined by the U.S. Securities Laws. These statements are not guarantees of future performance and are based on a number of assumptions which we believe are reasonable. These statements are based on information available to us today and we assume no obligation to update them. You can find more information about risks and uncertainties to our future performance in our periodic filings filed with the SEC. During today's call, we will refer to certain non-GAAP financial and operational measures. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures are included in this morning's press release. Our SEC filings and press releases are available on our website at intrepidpotash.com. Presenting on the call today are Bob Jornayvaz, our Co-Founder, Executive Chairman, President and CEO and Brian Frantz, Senior Vice President and Chief Accounting Officer. Jeff Blair, our Vice President of Sales and Marketing is also available for Q&A. And with that I'll handle the call over to Bob
Bob Jornayvaz: Thank you, Jennifer and good morning, everyone. Before I dive into commentary regarding our circuit quarter and first half results, I would like to first address the developments related to the ongoing negotiations with our lenders as I realize this is top of mind for many of you. As you saw in our releases this morning in this past Friday, we have reached an agreement in principle on the terms of our senior notes. As part of these negotiations, we also agreed to extend the maturity date of our existing credit facility by two months, reduce that facility to $1 million for letters of credit only and received a commitment letter or an alternative lending facility whether I replace our existing facility. While I stress that these agreements are subject to various conditions and definitive documentation, we're obviously pleased with the progress this represents in our negotiations. We currently expect to have definitive documentation completed by the end of September. In the meantime we have received a waiver on the current debt covenants for both our notes and for our existing revolver until September 30 to allow us time to get everything formally documented. It is too soon to divulge any further details, however I can tell you today we believe these agreements will provide Intrepid with the liquidity to continue executing on our business plans. Turning to the second quarter, this quarter represented a significant period of transition for the company as we idled operations at West in early July and we transitioned East to a Trio only facility. These activities had a meaningful impact on our results in the quarter so I would like to spend a moment giving you updates on where we're today. We successfully transitioned West in the care and maintenance in early July and we operated safely and at normal rates during the second quarter. Brian will give you more color on the financial impacts of the idling. Though the idling of the West was necessary, it was very painful for us as we knew this would have a tremendous impact on our many loyal employees and their families. We want to thank them for their many contributions working hard and safely all the way through the idling and wish them the best in transitioning to new opportunities. The ramp-up of Trio at our East facility continues to go smoothly and our production has improved significantly since our April conversion. Our commissioning of the East facility will continue into the second half of 2016 and we remain on track to hit our expected annualized Trio production run rate in the fourth quarter of 2016 of at least doubling the 2015 Trio production. As we work towards expanding our market for Trio domestically and globally, we believe our first four months of Trio production having them go better than planned provides support that are simplified production process can consistently produce the material at higher rates for this historically supply constraints product. We have had very positive feedback from both new and existing customers regarding the increased production and have signed up several new warehouses in new geographies. That said we're sensing that this increase in the reliability of Trio supply may shift buying patterns which we anticipate will more closely align with seasonal buying patterns for potash. Specifically, we anticipate that some buyers may move towards adjust in time purchasing model where historically these buyers purchase product as it became available because they were on allocation. Given that Trio has historically been predominant a spring product in the U.S., we expect to build some inventory in the second half in anticipation of a strong spring. It is very important to remember that the potassium, magnesium, sulphate fertilizers are not new products and there's been global demand for this product dating back seven decades. As farmers around the world focus more on balanced fertilization practices and our additional production becomes available, we belief demand for Trio will be able to grow. With the rapid ramp-up production at East, we have concurrently ramped up our sales efforts and our work in developing the logistical fracture to support new global markets. The customer we've spoken with so far have been enthusiastic about the potential to buy product that they've struggled to get over the past several years. From a pricing perspective, macro level softness in the fertilizer market pressured both Trio sales and volumes and pricing in the quarter which was expected. We continue to believe our specialty Trio product is currently a great value for chloride sensitive crops and is competitive on the magnesium deficient chloride permissible crops. While we anticipate some near term pressure on Trio pricing as we expand sales domestically and abroad, we still believe the agronomic value of the product and the overall size of the market globally should provide resilience longer term. Turning to Potash, there continue to be indications that pricing may be at or near the bottom. However U.S. and global potash supply remains at issue and we look at the back half - as we look at the back half of the year. With these pricing and demand headwinds, we're focused on that which we can control demand specifically costs. With our higher cost conventional mining facilities no longer producing potash, we're starting to see some of the cost benefit from the relative weight of the lower cost solar solution model and are more streamlined operations at East. Though we won't fully realize the benefit of this new model until 2017 we anticipate our cost structure will continue to come down as product from the lower cost solar facilities become a larger part of our portfolio. To sum the second quarter marked the beginning of some important changes for our business. While these changes will take some time, to fully play out in the market, we believe these are the steps in the right direction as we work through this period of challenging headwinds for the industry. With that, Brian will update you on the financial results and the outlook.
Brian Frantz: Thanks, bob and good morning, everyone. For those of you that have been following the company for a while, you've noticed we've presented our potash and Trio numbers differently than we have in prior periods. We now report results for two segments, potash and Trio. Further, in response to recently issued SEC guidance, we've reduced the non-GAAP measures that we're providing. Our net loss and our adjusted EBITDA continue to be most impacted by declines in potash and Trio pricing which weighed heavy on our top line through the three and six-month periods. Top line sales declined 30% and 34% during the second quarter and year-to-date compared with the same periods in 2015. These declines were led by year-over-year declines in potash sales despite having achieved higher potash sales volumes in both 2016 periods. Our average net realized sales price per ton decreased more than 40% in both the second quarter and year-to-date periods. Sales mix negatively impacted both top line sales and gross margin as sales into the industrial markets continue to be slow due to lower levels of oil and gas drilling activity. Declines in potash pricing yielded lower of cost to market adjustments of $2.9 million and $11.9 million during the second year and year-to-date periods respectively. For Trio pricing and volumes were down in both the quarter and year-to-date periods resulting from overall softness in the fertilizer market in the trends Bob discussed earlier. These price declines coupled with start-up costs for the newly transitioned East facility weighed on a gross margin for the Trio segment in the second quarter and year-to-date periods. During the second quarter of 2016, we incurred $1.1 million in abnormal production cost associated with the brief shutdown of the East plant as we transitioned it from a mixed ore [ph] facility to a Trio-only production. During the second quarter, we incurred $1.9 million in restructuring charges related to the idling of our west facility and transition of the east facility primarily for our employee severance payments. Majority of these costs have been paid in July and we do not anticipate any further charges related to this transition. Interest expense is also increased in the quarter in year-to-date periods due to higher interest rates on our senior notes and expensing of deferred financing fees during the three and six-month period ended June 30, 2016 as a result of the changes we've made in our debt facilities. We also recognize $2.3 million related to one-time pretax gains in the second quarter of 2016 which are further described in our earnings release. We ended the quarter with cash and short term investments of $47.6 million, our outstanding debt balance which is now shown net of deferred financing fees on the balance sheet remained at $150 million. Looking at the balance of the year, I would like to draw your attention to a few trends and known factors you should be aware of as you look at our company going forward. First, with the idling of the West facility now complete, we have greater clarity surrounding our total expected ongoing care and maintenance costs. We expect ongoing care and maintenance charges associated with West to between $1.9 million and $2.5 million annually which includes some of the ongoing overhead costs associated with care and maintenance. These charges will be reflected within other operating expense in our income statement in the future. With West idled and no more potash production at East, we will have less potash production in the second half of 2016 as compared to 2015. Our existing conventionally mined inventory produced prior to the idling of West is expected to be sold primarily in the second half of 2016. While our transition away from conventional mining is anticipated to precipitation down our overall cost structure we won't see the full benefit of our new operating model until the conventionally produced inventory is sold. With that Operator, this concludes our prepared remarks and we're ready to take any questions
Operator: [Operator Instructions]. The first question is from Christopher Parkinson of Credit Suisse. Please go ahead.
Unidentified Analyst: This is Graham Wells [ph] stepping in for Chris. I was just wondering if you could add a little bit of color around regional trends you're seeing in terms of demand both for Trio and for MOP and then also just wondering if you can add a little commentary in terms of the pricing pressures that you see on the Trio front moving forward. That would be very helpful, thank you.
Bob Jornayvaz: In terms of demand models, we really just don't see any significant changes to historic models. I mean we're seeing great moisture in our truck markets. Soil moisture and so when we look at the crops that are going to be grown in the State of Texas and the surrounding areas, our footprint obviously because we're producing fewer tons of potash, it's going to be really guided around our very solid truck market. So from a command standpoint, given the fact that we’re going to be a smaller producer, I think we're going to have better opportunities to select and choose the markets that we're really participating into. On the Trio side, from a pricing perspective, we saw Mosaic take the price down but we're seeing great opportunities from our customers as we sign up new customers and new geographies. This product has previously been constrained and so we see our opportunities to continue to grow this market in a product that we just previously didn't have available to sell. So it's very difficult to go grow a market when you don't physically have the product to offer into it. So as we see that opportunity, we just see it continue to expand.
Operator: The next question is from Mark Connelly of CLSA. Please go ahead.
Mark Connelly: I was hoping, Brian, if you could just clarify for me. I think you talked about labor transition costing primarily behind you and then you talked about the burn-off of the inventory. Are all of your primary transition costs behind you once the inventory is done? I'm just trying to get a sense of, you know, whether there's something else that we should be expecting in this next quarter or two before you get to clean numbers? And then second, can you talk about the distribution system and how that system changes now, how much more or less flexible it will be and will you have more proportionately in consignment or less when all this inventory has worked out?
Brian Frantz: Sure, Mark, this is Brian. I'll take the West question and maybe Bob follow up on the distribution system question. Yes, so on the idling of West, yes, we've recognized all of those costs that we anticipate to be incurred related to the idling of facility. Those came through in the second quarter. So you see all of those. As we go forward, you know, the facility is under care and maintenance so we have a little bit of labor and associated costs with that to maintain the facility, you know, bump the motors, check the shafts, things of that nature going forward. So if we choose to restart in the future we're able to do so. So you will see some of those costs going forward but in terms of the transition costs themselves, those have all been recognized. As we sell down the inventory that's been produced, unfortunately we took those costs down to lower cost to market so assuming prices stay where they are which, you know, Bob kind of addressed that we think we're at or near the bottom, we shouldn't see any incremental hits to the income statement related to those as well. So I think hopefully that answers your question. If not, we can--
Bob Jornayvaz: As to the distribution system, we've increased the distribution system, if you will, in a variety of ways. I'm not going to go into a lot of details quite frankly simply because I'm just not going to lay out our marketing plan for Trio but I can tell you that we've significantly ratched up our ability to distribute - ramped up both domestically and globally. What was the second part of you were question? I apologize
Mark Connelly: I just wanted to understand whether on the potash side you would have proportionately more or proportionally less on consignment once you blow through all this inventory?
Bob Jornayvaz: Yes we should have significantly less, a very small amount in fact and we just got our good strong local truck markets that we have before in selected warehouses that we’re working with that provide us the opportunity to kind of stay out of the consignment world?
Operator: The next question is from Sandy Klugman of Vertical Research Partners. Please go ahead.
Sandy Klugman: Domestic potash prices have been particularly weak, particularly when taken in the context of the 94 million acre year for U.S. corn. One of your competitors this morning commented that the weakness we're seeing in offshore prices is more a function of currency than market oversupply. Given how close you are to domestic market, I was hoping you could maybe comment on what you perceive to be the biggest driver of the lower price environment that we're seeing?
Bob Jornayvaz: Yes, I would say number one first and foremost it was some of the imports that came in in the first half of the year. As you remember we saw both [indiscernible] Mosaic try to take up the price $15 and then PCS's fill program takes the price up $20. So we're feeling a pretty solid bottom as we've seen the three major Canadian producers announce price increases and given the nature of the order book that started late last week, we feel like we've seen a bottom whether it's a long term bottom or just a short term bottom, we've definitely felt a bounce pricing-wise in the short term. But I would say the primary reason for the price declines that we saw in the first half were a lot of the competitive tons that came from both Russia and [indiscernible] Russia.
Sandy Klugman: And then as it relates to Trio, is your capacity increases, are they sufficient enough to put pressure on pricing and when you look at the offshore markets, where do you see the best opportunities for growth in Trio demand?
Bob Jornayvaz: You know, all I can tell you is that from a global standpoint we're having a tremendous amount of interest so we'll get into various countries later as we move forward with executing on our marketing plan but we're seeing very solid interest. We don't believe that we should see a lot of pricing on [indiscernible], on Trio specifically given the amount and the nature of conversations that we're having with customers. So we feel there's adequate demand out there and we finally have supply that is going to fill up pretty significant demand profile.
Jeff Blair: This is Jeff. I think when we talk about pricing, pricing to the customer your net realized price back to us, I think our comments there, similar around - our free lane [ph] obviously expand as we grow and look for new markets and so there's an impact on some pricing there. But I think I would echo Bob's comments. We've had good interest. We're getting the logistics in place but some of those are going to get longer obviously to make sure we can find the right markets. So that has an impact on our pricing back to the plant.
Operator: [Operator Instructions]. The next question is from Josh Spector of UBS. Please go ahead.
Josh Spector: I was wondering if you could just help me understand how much production of potash came from West in the second quarter and then also as you look to the second half and work through inventory and continue to ramp down potash production, what do you look for year-on-year so if you had 200K tons roughly last year in potash, are you able to give a rough feel for what you're looking at in the second half of this year?
Brian Frantz: This is Brian. I think I'll try to take that. Typically we don't talk about specific production levels from our facilities, though I would ask you to go back and take a look at our 10K and in our 10K you will see estimated production capacity levels in there. And I think, you know, our second quarter numbers are probably pretty reflective if you were to take a look at those and bring those back to a quarterly level. So we were thankfully we were able to operate West safely during the period of time in the second quarter there and I think those numbers would be in-line with what you would have seen in our 10K.
Josh Spector: Okay. So there's pretty much in line roughly full quarter production.
Brian Frantz: Yes, I think that's a fair place to be thinking about it.
Josh Spector: And do you guys talk about what you would expect for second half at all?
Brian Frantz: No. I mean certainly again going back to the 10K numbers, if you can take out the West and the East facility production numbers from it and you look at just our solar numbers from an annual basis, I think, you know, we're tracking towards that at this point in time. It's still fairly early during the evaporation season but I think if you look at though 10K numbers that will get you where you want to be.
Operator: There are no more questions. I would like to turn it back over to Bob Jornayvaz for closing remarks.
Bob Jornayvaz: Thank you everyone for taking the time to dial in today. We appreciate your interest in Intrepid Potash and look forward to speaking with everybody in the near future. Thank you again.
Operator: This concludes today's conference call. You may now disconnect your lines. Thank you for participating and have a pleasant day.